Operator: Ladies and gentlemen, thank you for standing by, and I would like to welcome you to the discussion on Text's Q3 2024/2025 KPI Conference Call. The call today will be hosted by Marcin Droba and Łucja Kaseja from the Investor Relations Department. At the end of the presentation, we'll have an opportunity to ask questions. So without further ado, I would now like to pass the line to Łucja. Please go ahead, ma'am.
Łucja Kaseja: Okay. Good afternoon, ladies and gentlemen. Thank you for joining us today to review Text S.A. performance for the third quarter of 2004 -- 2024/2025. I'm pleased to share some of key highlights and insights into our financial and operational achievements during this period. Also, thank you for showing interest in meeting us right at the beginning of the year. I would like also to start by thanking those representatives of institutions who evaluate us in the [Extel] (ph) survey. We debuted in the top 10 among Polish IR teams in this ranking, which is, of course, a quite pleasant distinction for us, especially considering that investor relations are often evaluated through the lens of stock performance. Today, we will discuss the data we published on January 3rd, and I aim to update you quickly on where we stand in executing our strategy on building suite. To recap, just very briefly, we are a company called Text, a Polish company in software sector. It will be 11 years since we debuted on the Warsaw Stock Exchange. We operate in SaaS model, software-as-a-service. We offer our products, LiveChat, ChatBot, HelpDesk, KnowledgeBase and OpenWidget, on the global market. We are also working on additional products, and our strategic goal is to create a suite offering. What is the difference? Today, each of the products addresses specific challenges faced by the communication -- by the companies in the communication area. For LiveChat, it's online communication and monetization. For ChatBot, it's automation. For HelpDesk, it's solving customers' problems, et cetera. This suite will address the entire area of communication, customer support, and even more. And now, into Q3 KPIs. We will start with the payments received during the year. As you know, they are no longer revenues. They are -- this is the sum of the payments that we get in a quarter, whereas the revenues are recognized in the subsequent quarter. In this annual payments, our lower share than usually, you see that the payments received year-over-year grew only by 0.4%, and it was 6.2% decline compared to the previous quarter. Should we be concerned? A little bit, but we have to remember that the revenues for this quarter, which will be reported later in February, will benefit from this change of the recognition of revenues from annual payments received in previous quarters. We also expect to return to higher annual payments shares in the upcoming quarters. And Q4 is usually the time of the year when the companies, especially the bigger ones, delay or postpone their decisions on choosing their services until the beginning of the fiscal year. Additionally, a note in theory, MRR and payments should grow at similar rates, but recent quarters have shown much stronger dynamics in payments. Hence, we are witnessing an alignment between these indicators in the quarter that we have now. Good news are on the side of monthly recurring revenues, which reached US$7.1 million in -- for the quarter, in December 2024. This represents almost 1% increase compared to the previous quarter and 9.4% increase year-over-year growth. Recalling the growth that we got in the previous quarter, which was 8.8%, that's an improvement here. Also, monthly recurring revenues are not all the payments that we receive. If we were to calculate also the additional chats that we have in ChatBot or API usage fees, including those, the figure will be US$7.35 million, and the increase that was achieved this quarter would be 1%. This growth that we've shown was achieved despite a significant decline in the number of LiveChat customers. As you can see, on net basis, LiveChat lost 907 customers. And this is, of course, a very weak result driven by high customer churn and also weak new customer acquisition. This primarily was concerning December, because until mid-December, we were expecting rather slightly better results. So, October -- in October, we lost about 300 customers. In November, it was slightly over 100. And in December alone, the number of customers dropped by 545 customers, net. Although this drop in the number of the customers, I want to highlight that in December, monthly recurring revenues generated by LiveChat increased. This was due to two factors, and I think it's very important to say because we all concentrate on the number of customers, but also there are some other mechanisms that are behind MRR. So, we had a strong upselling and also the structure of customer churn that supports MRR. So, the customers that we lost were among the smallest customers, particularly from Asia. If you think about our key market, U.S., October, November, and also two earlier months were very good in terms of the customer churn. So, it was actually at the level of -- and even below 3%, and it only increased in the last month of the year in December. You can, also -- when we talk about LiveChat, you can also see that there is a trend in LiveChat average revenue per license. It's a stable and positive growth of this parameter. In the quarter itself, ARPL increased by nearly US$5, and currently, it stands at $178.6. So, this is something that is important. Also, the average initial ARPL for the whole quarter was higher this quarter than the previous one. Slightly worse news. Okay. So, now, going into ChatBot numbers. In this quarter, ChatBot customers exceeded 3,000. It was a good month for the product. There was an increase of 72 customers. Especially good was October and November, slightly worse in December. And you can also see on the next slide, in terms of ARPL, that's -- there was a drop in ARPL. This decline was caused by the promotion that we have still. So, the -- if the customer purchased the product within the first three days of the trial, they were getting US$1 -- the first month for US$1. And this promotion affects, obviously, the inflow of new customers, but also it affects ARPL and primarily, as you can see on the graph, initial ARPL. Additionally, in ChatBot product, we also have payments that are beyond the subscription. So, we have payments for additional chats. And these figures are not record-breaking, but on average, these additional chats add US$30 to ARPL for ChatBot during this quarter. Now, going to the third product of ours, HelpDesk. It's actually -- the next two slides will be about good news. So, we have observed a growth in the number of customers of HelpDesk. This number almost increased by 100 in a quarter as compared to 30 customers a quarter before. And, although December was not that good for the previous two products, for HelpDesk, actually, it was the strongest month. We got a net 61 customers at the end of the quarter, and now it's 1,321 customers for help desk product. And there are also more things to come in terms of the HelpDesk product, and I'll talk about them slightly later. As you can see, another good slide. So, we see that HelpDesk ARPL increased almost 11% during the quarter -- sorry. This description is -- yeah. Okay. So, ARPL increased by 10% to US$210 in this quarter, and this reflects two things. First, the value to the customers, because they increased the number of agents that are using HelpDesk, and also that we have more and more and also bigger customers using HelpDesk. As a summary of the results achieved, monthly recurring revenues grew by 9.4% year-on-year, and that is US$7.10 million. And that's actually better growth than a quarter ago. And it was 0.9% during the quarter. And this growth is brought by increased ARPL, and especially, due to monetization of the existing customers. The payments that we received this quarter grew by 0.4% to US$21.43 million. And that actually means a drop over the previous quarter. This is actually due to lower share of the payments from annual subscriptions in this quarter, but it is connected to the calendar year, I would say. The next thing from the summary is the high customer churn that we are still experiencing. And on top of that, we also have weaker acquisition of new customers. And that resulted to in a decrease of the number of paying LiveChat customers by 907 this quarter, whereas December itself was -- the majority of this effect came in December. However, due to strong upselling, actually, LiveChat product has increased MRR in December. And when we talk about the customer churn, it exceeded 4% in the quarter. Usually, as it is the case, the churn was highest among the small customers. And when we think about the geographies, it's -- the majority was from the Asian customers. When you think about the churn in the key U.S. market, it is much better. The customers are more loyal. This churn is at level of 3%, slightly over 3%, which is a good sign. Also, we got revenues which are outside of recurring revenues. So, the revenues from API as a service, they were at the level of US$53,000 this quarter, and they fell by 10% quarter-on-quarter. Also, want to say a few words about our strategy. We want to emphasize that we are in the process of building a suite offering. We have begun this journey quite a few years ago, while the last or the -- one of the last milestones was the rebranding of the company. It's not that we are halfway through this process, as you can see on the slide, but the changes that we are making have accelerated in the recent months. And, although the whole suite is not yet visible in our sales and in the offering, there are good things that will -- or steps that we will take and will get us to towards the suite. So, it will be the introduction of the global billing, which should finish this quarter; shared trial for our product, so that when a customer starts one of the products, he will automatically get the access to other products as well; and, also, we are now taking away a simple native ticketing system from LiveChat, so the clients will be offered HelpDesk. These developments that will come are also tied to the efforts that we are making in terms of the infrastructure changes that is -- also the certification processes. And I'm in here, SOC 2 certification. Independently of the suite, these things will improve the quality of the products. And through that, we will be also able to attract better -- I mean, larger customers in the future. Although I have a second slide, titled "Highlights" here, here I would -- I want to talk about what events also took place in this quarter in terms of the product, in terms of corporate events. So, the very first thing that took place at the beginning of the year was the payment of our first advance to our dividend, which was, PLN1.66 per share, which is higher advance than a year ago. As I mentioned talking through the process of building suite, we focus on changes in our infrastructure, we improve quality and also fix bugs in Q4. Those processes will continue into 2025. We also have added during the last quarter [Technical Difficulty] products. One is Workflows, which is about automation between the products. It is in a closed beta phase, released to some of the customers. And also, we have a second product, which is called TeamChat. It's more of a Slack for our LiveChat agents. And this product is in internal testing phase. During the quarter, we also had our first Context. So that was our first online event dedicated to our customers. And from the product side, also important thing is that we have a new LiveChat-ChatBot integration, which is one of the steps that lead us to suite. And in terms of the plans, we are very much focused on building suite. So, as I mentioned, there will be a lot of things happening in that space. There will be certification in the progress that should result in getting the certification by mid of the year. And also, we will be strengthening the sales department. We want to focus on bigger deals, and also, on the U.S. market. So, we should be present there on the first conference this quarter. And summing up, also, it's not that we are in the -- sorry. What I wanted to say is to comment on market conditions, that we are not -- I lost the words. So, we are influenced by the market conditions, which are changing. That is in terms of the customer acquisition process, in terms of how the economy influences our results and also by the changes in the customer acquisition process. So, for example, even the fact that people are changing the way they are looking for information in the Internet, so no longer using or still using, but to a less extent, the search engines. So, for example, as a result of that, we started to see the first customers coming from ChatGPT. And this market conditions change as always. Important thing here, and I want to direct you to an interesting report, which was prepared by ChartMogul. It's publicly available. So, if you need a link, I'm happy to share that. It's the fact that most of software-as-a-service companies, including also our competitors, but also other companies from other sectors that working in SaaS mode, in the most recent quarters, they have relied heavily on revenue retention rather than customer growth for the past two years, almost. Often, some of them were losing customers, and it was also tied to the economic situation in the U.S. So, this is something also that applies to us that it is much harder to get the new customers. And if you look at our numbers, the number of customers is dropping, but we are able to keep MRR growing. And this is – importantly [relies] (ph) on the retention, so on upgrading, upselling the existing customers. And with that note, we're going to open up to questions. Thank you.
Operator: Thank you very much for the presentation, Łucja. We'll now move into the Q&A part of the call. [Operator Instructions] So, the first question is from Mr. Maximilian Rofagha from the family office. Three questions on the LiveChat customer count specifically. Number one, your customer count for your main product, LiveChat, is declining. In your second quarter 2025 update, you stated that you are safeguarding the product against returning customers using and made unsuccessful changes to the onboarding in June and July. Could you please elaborate on what exactly do you mean on -- mean by that? You also mentioned in your Q3 2025 KPI update that subscription plan optimization has caused slower customer growth. Could you please explain what those optimizations were and why they caused the decline?
Marcin Droba: Sure. Thank you for this question. Hello, Maximilian. Good to have you here. So, yes, obviously, I think we had a lot of comments on that during the previous calls. So, I will try to be brief, not because that's really a simple question, but because we addressed a lot of that recently during the previous call, and, of course, we -- I think we also arrange a one-to-one call, and we can go really deep into that. So, one of our problems, especially outside the key market, outside the U.S. market was, in fact, that for sometimes we had really a lot of customers who actually were abusing our pricing, our rules of the usage of the product. The simplest case, the most simple case I can discuss was a very simple one. I mean, you were paying for the one agent and then you share this -- his login, his password to the whole crew, to, like, 100 people in your organization, and all of them were chatting using that one password and one account. So, what -- and, actually, we tolerated that for some time, but at the beginning of the year, we decided to address this situation. And in that case, we limited the possible number of the session per the one account, not to one, not to just one, but if I'm correct to four or five, because we believe that one agent should have opportunity to log at the same time via website, applications, and maybe in the next place to check if everything's okay. So, actually, there was a lot of schemes used by customers like that. Some of them were changing number of the agents during -- even during one day. So, actually, they were starting subscription with just one paying for the one agent for the month. They actually -- the next day, they were -- at the beginning of the day, they increase the number of the customers -- of the agents to, let's say, 100. At the end of the day, they reduce number of the agents to just one, because they knew at the end of the month, they will be charged for average number of the agents. So, actually, a lot of schemes like that. We reduced possibilities to use that way of the scheme. That meant, at the same time that we became more attractive from the pricing point of view to some customers like that. And, of course, that affected number of the customers. So, that was the case with this safeguarding the product. About onboarding in June and July, if you think about software-as-a-service business, there is a lot of -- actually, you -- doing a SaaS business, it means that actually you make a lot of changes all of the time. You're changing your product. You're changing onboarding process. I mean, a lot, all the time. And sometimes, this changing, you're introducing change because you think that it will be good change, it will be beneficial. And sometimes this change is not so successful. So, actually, you made some changes in the onboarding process, you expect higher conversion rates, and, actually, the effect is opposite. So, that's not mistake. That's what you are supposed to do. The main mistake, the main fault we made during previous quarter was that, actually, we introduced a lot, tons of changes into the product and onboarding process at the same time. At the end of the day, conversion rates went down, churn went up, and we weren't sure why because there was so many change we made. And that was a mistake. So, what we had to do was to return to -- it was not [100%] (ph) possible, but we return to the situation from the starting point as it was possible. And now, it has worked somehow. I mean, conversion rates improved, but that -- actually, that was what happened in the Q2. So, a lot of changes. Some of them unsuccessful, and the problem was we weren't able to really go into that and understand what was exactly that -- bad with that changes.
Operator: Okay. Thank you very much. We did receive a voice question earlier from...
Marcin Droba: Yeah, but I think maybe -- we have two more questions from Maximilian. So, maybe we can just go through them, and then, we can go to the voice questions.
Operator: Perfect. So, I guess, the second question was already answered to some extent the main reasons for customer churn on LiveChat.
Marcin Droba: Not really, but it's also a question we usually answer every call. So, very briefly, all -- the main -- very main reasons for the churn, not in the tough -- the latest quarter, but always was lack of churn. So, some of our customers are trying LiveChat, and they don't have enough chats. Why? The main reason is they don't have enough traffic. So that's the very number one reason why we losing customers at all. They don't have enough chats to justify paying for LiveChat. And, actually, what's changed in the last, I would say, two years, now we have much more customers who are churning and, actually, they stating, they declaring that, actually, they're quitting because they're closing their businesses. So, that's huge change, I would say, we see in the last year or two.
Operator: Perfect. Your third question from Maximilian, do you believe that this decline in customer count is specific to Text or part of a wider industry decline?
Łucja Kaseja: So, it's somehow links to this ChartMogul report that I have mentioned in the presentation. Actually, also our competitors, they are struggling with getting new customers. Some better -- some are better or some worse. But, definitely, these are not the customer growth that we've seen, for example, two years ago. And if you think about what drives the growth in the industry, it's more about retention of the customers. So it will be about upgrading the existing customers, offering them more services rather than getting valuable new customers.
Marcin Droba: Yeah. So, actually, when we're checking ChartMogul benchmark, ChartMogul is now publishing a benchmark for the software-as-a-service businesses, we are in the -- we are actually in the top -- global top 25% of the companies with the best revenue retention at the moment. So that's when we are successful. We are also -- which may be surprising, we are also above ChartMogul [median] (ph) when it comes to customer retention. So, it looks like a phase that's very tough time for SaaS businesses, which actually are not -- they're not growing just adding customer, but they need to actually, to replace that source of growth with good revenue retention.
Operator: Okay. Final question for Maximilian. Your move to become a suite proposition would imply that one customer buys two or more products. Please correct me if this is a wrong interpretation. Could you share what percentage of your overall customer base has purchased two or more products, and how that percentage has been developing over time?
Łucja Kaseja: It is a very valid question. And also, I will make a note here on why it's -- that the customers that are struggling with getting more products of ours is because when they -- when a bigger customer wants to solve their communication problems, and they look for a solution, they can, for example, find our LiveChat product. However, our ChatBot product is viewed as separate product, and not all the time. And, actually, it's much harder to connect the dots and actually see that those two products are developed by the same company by Text. So, if you compare our competitors, you compare LiveChat, for example, with a product of our competitors, you see, okay, there is LiveChat. It has good functionalities. It is actually suitable for the type of the problem I'm trying to solve. But, well, LiveChat doesn't have ticketing system nor it doesn't have the ChatBot. But it does, but we cannot display it as a one. So, offering suite, offering a whole package of products of solutions for our customers would actually make them more aware that we actually are able to solve their problems. And getting right to your question, so, if you think about the usage of the customers, the most commonly used combination of products is LiveChat and ChatBot. So that means customers using two products. And if you think about how many of such customers are among our customers, so currently, 27% of our customers, in terms of the numbers, use two products or more. So, they can actually use three or four as well. And a year ago, it was 23%. So, it clearly shows the direction that we are going, and this is also why we are working product wise on developing a better integration between LiveChat and ChatBot, on having the same billing system across the products, having single trial for the customers in the future so that they can actually see that we are offering more than just one product. So, it's all part of becoming a suite proposition as you have implied.
Operator: Okay. Perfect. Thank you very much. I promised to open the line for the voice question for [0:39:20.4] [Mr. Alvaro Garrido from GDP] (ph). Please go ahead, sir. Your line is open. Hi, Mr. Alvaro. Just in case you are muted, your line is open. Okay. Perhaps we will come back to Mr. Alvaro a little bit later. We'll be going back perhaps to the text questions. Next question comes from [Mr. Philip Whelan] (ph). What does it mean strengthening the sales department? Can you please explain that in a little bit more detail? What does it mean regarding costs?
Marcin Droba: So, of course, when we think about cost, of course, that means increase. That means that customer -- cost of customer acquisition will be higher at some point, but actually, that would be processed. That would be definitely evolution for us, not the revolution. But what we're doing there? When you look back at something like five, six years ago, we didn't have a sales team at all. Still our automated sales process is very important for us, and it works very well for the small customers. But with bigger customers, we need the sales team to work with bigger customers to enter some discussion, to answer the questions, to introduce them to our product. We are -- as for today, we are not doing outbounding sales, which means that our current sales team is working with the customers, potential customers who actually came to us, and they ask about our product. And some of them just need some discussions, some help, et cetera, et cetera. So, that's why we have a very small team which are now is based mostly in [Warsaw], some of the people, actually, also in London, but it's like in the [new build] (ph) teams, like, six persons at the moment. And with having suite on hand and having much -- I would say, much bigger potential in our product, not only because of the suite, mostly because of the suite, but also because we will have more opportunities with more potential, we're having better infrastructure, better cloud, more opportunities to customize some features for our customers, having SOC 2 certification on our hand, we'll be able to enter with discussion with bigger customers. And these customers require some, even more direct approach. So, definitely, we plan to hire some, not like 20 people, but some people for the start in the U.S. We also would like to move some of our people from Poland to U.S. We have some U.S. citizens working for us from [indiscernible]. We would like to be more active offline. We actually, historically speaking, we're never doing that. In the last year, we -- for the very first time actually, we were present at -- we visited some conference, when actually, which was dedicated for one of our industries when we are very popular. The next, actually, such event will be held in the U.S., and we will be present. So, yes, that's the change of the approach, but we are doing that. We're changing this approach because now we are able to address better the needs of these bigger guys, and we would like to explore those opportunities. So, definitely, that means the cost of customer acquisition will be higher in that channel, but I would like to stress, for us, it's evolution, not revolution. So, we will monitor that effect how these guys are doing.
Operator: Okay. Thank you very much. Next question is from [Mr. Philip B] (ph). Could you please talk a little bit more about the threat you see from clients replacing LiveChat by leveraging an LLM like ChatGPT.
Marcin Droba: So, of course, it's also a very -- I mean, a very broad topic. Looking even at, as you know, ChatGPT, it says, it's not B2B solution on its own. Actually, you can use ChatGPT to build your solution, which is, no, not a bad idea, and we're doing that. So, actually, when you look at our product, our ChatBot product is based on our own language model. But, actually, in the LiveChat and the other product, we're still using ChatGPT, and it's worked for us. And, actually, we just were at some conference, organized by OpenAI for the bigger customers from our regions, and we were invited, because we are one of the key customers here in that region. So, I would say, we are in the same boat, that bad thing, obviously, anyone can use some AI features, like create some AI solution like ChatGPT or Llama or other language models to build that solution. At the same time, we not behind. We have access to that kind of solution. So, our advantage would be, of course, that we have this platform we are using. It's not so -- you can launch some bot, creating some bot using the ChatGPT maybe itself is not so difficult, but you should be careful, because we have some [indiscernible] about bad bots, actually, which poorly developed bot which ruined some -- reputation of some companies or created some [costs] (ph) for them. But at the same time, we have this platform with 200 different integrations, features, additional tools, which is proceeding, like, millions and millions chat interactions every day, and it's not something you can duplicate overnight. Definitely not. So, I believe there is a moat, but, yes, you can create a bot using ChatGPT, but you can't duplicate the whole platform overnight.
Operator: Okay. Thank you very much. Second question from Mr. Philip. Why is Text paying such high dividends if management believes in growth opportunities of the company? Why not reinvest the earnings?
Łucja Kaseja: We do invest in the product. And if there are any necessary investments that we have to take, we are doing that. For -- such example is the investment in infrastructure that we are doing currently, also investment in the people, in the team. So, if we see the growth opportunities through the product, then we are doing it. The model that we have of client acquisition is not the model that is dependent on the spending on marketing because the majority of the channels of acquisition are actually not a direct marketing. So, it's not that we can put any amount of the money into the process of acquiring customers. And, hence, we will not be using the money in that way. And paying out dividends, this is the policy that we've taken right at the beginning when we debuted on the Warsaw Stock Exchange, and it's a way of running the company. It is maybe conservative to the standards of some of the investors, but this is like the DNA of the company.
Operator: Okay. Thank you very much. We'll be moving to the next set of questions from [Nate from Nathan Investments] (ph). At the current share price...
Marcin Droba: I think we have also a person who would like to ask voice question.
Operator: Yes, correct. We have [indiscernible] with a voice question. Your line is open. Please go ahead. Hi, [Mr. Bartos] (ph), your line is open just in case you are muted. Okay. So, perhaps maybe we'll go to the text questions and then we'll turn back for the voice question. So, the next question comes from Mr. Nate from Nathan Investments. At the current share price, the dividend yield is almost 10%, which is a bargain. Is there any reason why the company is not considering share buyback?
Marcin Droba: We have a lot of discussion about buybacks really with shareholders, with investors. We know internally, of course, at the end of the day, internally, we were discussing that. We know that that also solution would be more beneficial from the Text point of view to a lot of shareholders. So, we were seriously thinking about that. At the end of the day, we decided that we want to uphold our policy. We believe, of course, in our company, but at the same time, paying dividends and being dividend company is some kind of promise policy which we declared from IPO. So, we don't want to change this policy at all during Text's current situation. So, I mean, a lot of discussion, and definitely some investor who actually opted for the buyback, they really made the point, but the end of the day, the discussion was -- the decision was to keep with the dividend. And as you know, at the end of the day, it's decision of the AGM, and AGM decided to uphold dividend policy to -- also at this very moment, we don't have -- need that permission from general meetings to launch buyback.
Operator: Okay. A follow-up question from Nate regarding competitive landscape. With HubSpot lowering seat prices, eliminating minimum seat requirements for their hubs and offering a free view-only seat options, how do you anticipate competing against such competitors who have broader suites than you and may be able to offer your customers a more competitive offering? Will you consider lowering seat prices?
Łucja Kaseja: We were not considering lower prices. And actually, in our case, the price is per agent. But, obviously, the market is -- can change quite quickly. And, actually, currently, what we see on the market is a trend more towards paying per usage, and that's, for example, the case of Intercom, and not so much about, like, the price per agent. However, it's very interesting that they have this free view-only seat option. And this is also something that is interesting because there can be different roles of the agents, and they can be priced, for example, differently. So that's a very interesting take on the -- how to price the -- actually, the product. However, the key in this question, I think, is that, if the competitors have much broader offer, will they take the customers that we are looking for? And, I mean, that's the case usually for -- and it also has been the case for many years now that we, Zendesk, Freshworks, Intercom, or LivePerson, we are all on the same market, but we aim at different size of the customers. So, there will be always points of contact, I would say, between the competitors. And what we -- I mean, when we build the suite, when we think of how can we solve the problems of our competitor -- of our customers, we do not think about what the competitors do. We want to be able to solve the problems of our customers. And we see the role of having this offer more unified and more integrated for the customers to be able to get a better value. So, making it short, I mean, definitely, there will be competition, but we think that we will have our place in -- on the market as well.
Marcin Droba: We are competing with free solutions not from yesterday...
Łucja Kaseja: That's another example.
Marcin Droba: Always. We were always doing that. At the same time, we really -- I don't think that we are terribly expensive. You can look at Fin bot from Intercom prices, which actually cost, like, US$0.99 per interaction versus US$0.03 in the case of the ChatBot. So, we are not terribly expensive. At the same time, I think that -- I'll probably repeat what Łucja say. The problem is that, yes, that our standalone product is now competing with suites with competitors with broader offer. That's the problem. That's the challenge. And we know our strategy is addressing that problem, that challenge.
Operator: Okay. Thank you very much. Final question from Nate regarding customer numbers. I understand back in the Q2 webcast, you mentioned that you expected potential net adds of customers in Q3. However, in Q3, the number of customers have dropped quite significantly. Is that an admission that we should expect the number of LiveChat customers to decline in subsequent quarters? And when is this outflow trend expected to stop?
Marcin Droba: So, yes, we [Technical Difficulty] thinking about number of the customers, but, yes, we -- really we were more optimistic looking at this quarter, definitely. I think the fact that LiveChat actually didn't add customers at the net level in the November, which is traditionally a strong month when you look at the number of the customers, was disappointed. This is something disappointing. At the end of the day, we are not really looking just at the number of the customers at this moment. We're looking at the MRR and ARR. So, we're looking actually at number which is -- number of the customers multiplied by RPO. So, it's not as negative quarter for us as MRR is growing faster than in the last quarter from our point of view. Nevertheless, looking at few coming months and thinking about just number of the LiveChat customers, honestly, it's very hard to be optimistic. We're not optimistic. I think that the environment is still very difficult, very demanding. We need time to adjust some things in our acquisition process. So, no, definitely, when I think about next few months, I'm not optimistic about opportunity to grow of the customers -- number of the LiveChat customers. At the same time, I think that we are [proud] (ph) that we're able to upsell our customers to -- that we're proud that we have very strong revenue retention at this moment. So MRR, we should be able to grow to have a higher MRR even in that situation when number of the LiveChat will be decreasing.
Operator: Okay. Thank you very much. Our final question today comes from [Mr. Will Keeley from Frontera Capital] (ph). Are products now able to be built together? If so, have you seen any increase in cross-selling?
Łucja Kaseja: So, the product itself is not a suite yet. So, we know that the sales team actually is very much successful on cross-selling the products, and that is going very well. And it's quite aligned with this report of ChartMogul that the retention of the existing clients is the source of the growth. We also seen, and I think I talked about these numbers, but I might have said it on the Polish call, that we have seen in the last 12 months an increase of 4 percentage points of the number of customers that have more than two -- well, that have two or more products of ours. So, it increased from 23% of the customers having more -- two or more products to 27%. So that is actually showing the trend in terms of the -- how the products will be sold. And also, this investment and activity on the U.S. market, this will definitely -- I mean, we hope to bring more growth through such actions. And also, one of the last puzzles, SOC 2 certification, which is very important for the U.S. bigger clients. It's also something that will help us to pass, like, the first steps of, like, selecting a provider of products. So, altogether, if we manage to have it introduced properly, it should speed up the process of cross-selling.
Operator: Okay. Thank you very much. It looks like I see no further questions at this point. So, perhaps, I'll pass the line back to Marcin and Łucja for their concluding remarks.
Łucja Kaseja: All right, so maybe...
Marcin Droba: So, we'd like to thank you very much -- we start at the same time. Okay, go ahead.
Łucja Kaseja: Okay. So, I was going to say that as the one who had the presentation, maybe I'll sum it up, but Marcin was first. So, thank you very much for listening. We hope that the numbers were clearly discussed by us and that you have had understanding of what's happening with, especially, the number of the customers, but also with MRR and where we look -- like, where the changes will be taking place in the next coming months and quarters. As Marcin mentioned, and it is important to say that in terms of the number of customers, the future will be difficult, but in terms of the growth of revenues, in U.S. dollars, we think that there is a potential. And with that, thank you very much for listening.
Marcin Droba: Yeah, thank you very much. Thank you for your time. Thank you for your attention. If you have any question, if we have not answered your question, please, if you would like us to go deeper into some, we are really open to discussion. Please write an email or contact us via LiveChat, and we'd be happy to clear answer for you. So, thank you very much, and have very happy 2025.
Operator: Thank you very much. This concludes today's conference call. We'll now be closing all the lines. Thank you.
Łucja Kaseja: Thank you. Bye.
Marcin Droba: Thank you. Bye.